Operator: Ladies and gentlemen, welcome to the Baloise Group Half Year Results 2025 Conference Call and Audio Webcast. I am Mathilde, the Chorus Call operator. [Operator Instructions] And the conference is being recorded. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Markus Holtz, Head of Investor Relations. Please go ahead, sir.
Markus Holtz: Thank you. Good morning, and welcome to Baloise Q&A call about our half year results 2025. Today, we have our CEO, Michael Muller; our CFO, Carsten Stolz; and our CIO, Matthias Henny. We start with a quick overview of our results. For this, I hand over to Michael.
Michael Müller: Thank you, Markus. Dear analysts and investors, ladies and gentlemen, I am happy to welcome you together with Carsten Stolz and Matthias Henny to present our half year results 2025. First half of '25 was a period marked by significant strategic decisions and operational successes. We not only successfully started to execute our refocusing strategy but also laid the foundation for further profitable growth with the planned merger with Helvetia, paving the way for a successful new area. In addition, and most importantly, our thoughts remain with the people of Blatten who were affected by the landslides in May. In these challenging times, we stood by our customers swiftly, compassionately and with a little bureaucracy as possible to offer the support they urgently needed. We again proved our commitment to being there when it matters most. Today, I am proud to present a strong set of half year results. Let me start with the key messages on Page 5. First, our refocusing strategy is working and fully on track. Over the past months, we have worked relentlessly on implementing our strategy and to further optimize our core business. This includes a broad set of measures to improve technical profitability and operational efficiency. These initiatives are proceeding as planned, including a targeted reduction of 250 FTEs by '27. After one year, we have already achieved over 50% of this goal. Second, I am very pleased to report that the strategic progress is also reflected in our financial results. Our combined ratio improved by 2.6 percentage points. Net profit increased by 26%. Return on equity rose to 15.5%. One year into our refocusing strategy, it's evident that we are making sustainable progress. Thanks to a clear focus, determined execution and above all, the dedication and hard work of our employees. I would like to extend my sincere thanks to all of them. And finally, we are well on our way in the preparation for closing the planned merger with Helvetia and are confident that we will obtain all necessary approvals in the coming weeks and months, enabling us to complete the planned transaction in the Q4 by year-end. Financial targets for Helvetia Baloise will be shared at the Capital Markets Day next year, together with the full year '25 results. IFRS and cash remittance will remain key KPIs. Now let's take a closer look at our half year figures. For that, I hand over to Carsten.
Carsten Stolz: Thank you, Michael, and warm welcome from my side. The first half of 2025 shows progress in refocusing Baloise. We see growth in target segments. We see improved profitability. We are on track with our strategic targets, and we enhanced the return on equity. Let me go one by one. First, we grew in target segments in Non-life, especially due to a disciplined pricing approach where growth amounts to 3.1% in local currency if we adjust for the portfolio exits in Belgium. The investment type premiums rose sharply by 41.2%, thanks to increased contributions from Luxembourg and Belgium. The decline of 10.1% in Life mainly reflects the continuing trend in Swiss group life towards semi-autonomous solutions. Secondly, we improved profitability. Net profit increased strongly by 26% to CHF 276 million, driven by stronger results in Non-life and Asset Management & Banking. Life remained at the very healthy level of the previous year. The Non-life business benefited in particular from a very strong combined ratio, which improved by 2.6 percentage points to 90.6%. Third, based on our results, it is clear that we remain very well on track to achieve our target of remitting more than CHF 2 billion cash for the period 2024 until 2027. Finally, our capitalization remains on a strong level. While CSM and equity declined slightly, return on equity rose from 13% in half year 2024 to 15.5% in half year 2025. Slightly above our target range of 12% to 15%. The driver was the improved underlying profitability. The estimated SST ratio improved to around 215% as a result of slightly higher interest rates and higher market values of Swiss properties. Our rating of A+ was confirmed in June by Standard & Poor's. So in summary, we have earnings momentum, high earnings quality, rising capital productivity and sustained strong cash generation. Now let's take a look at Page 9 at our 4 core markets. In Switzerland, Non-life grew by 1.7%, mainly due to disciplined pricing. In Life, the market trend to semi-autonomous solutions continued. EBIT rose by 58.3%, mainly driven by Non-life, which benefited from an excellent combined ratio of 88% and a good financial result. In Belgium, we kept our focus on profitability over growth. This also included a far-reaching exit of the transport business as already mentioned in our full year 2024 results. Adjusting for this exit, growth was 1.2% in Belgium Non-life. Life grew by 15.1% driven by investment products. In Belgium, the combined ratio slightly improved to 92.5%. The proportion of claims covered by our group internal reinsurance was lower than in the previous year. This resulted in a lower EBIT. In German Non-life, premiums rose by 8.5%, supported by strong new business and price increases. EBIT increased by 11.9% due to operational improvements. Luxembourg showed solid growth in Non-life, plus 5.5% stemming from both price increases and volume effects. And in Life, plus 45.8%, driven by higher investment type premiums. EBIT declined due to a lower result from investments and financial contracts. Let's look now at our operating segments, starting on Page 15. In Non-life, EBIT reached CHF 229 million, a strong increase of 85.6%, driven by a variety of improvements. The insurance service result rose in line with a better combined ratio. The combined ratio improved to a very strong level of 90.6%. And benefited from the better loss ratio, which reflects an enhanced portfolio quality and lower large claims, including fewer nat cat events. The finance result rose to CHF 96 million, driven, among others, by a positive development of the Swiss property market. Other income and expenses finally benefited from our operational cost efficiency measures. Let's move on to the Life business. The Life EBIT remained stable at CHF 143 million on the very healthy level of the previous year while a higher insurance service result and lower costs were offset by a lower finance result. Also, the CSM release was on a similar level as last year. The CSM slightly declined to CHF 4.9 billion due to operating variances. The normalized CSM growth was positive at 0.5% with the expected business contribution and new business CSM more than compensating the CSM release. Please note that we aligned the presentation of the expected business contribution to market practice. It now includes a spread over the risk-free interest rate, which was previously captured in the economic variances. The nonannualized CSM release ratio amounted to 2.8%, slightly above the previous year value. Let's look at our Asset Management & Banking segment. The impact from our optimization measures is also reflected in the results from asset management and banking. We achieved in banking a higher fee and commission income and lower expenses. As a result, EBIT rose to CHF 26 million. This is also reflected in the improved cost/income ratio of 60.3%. In Asset Management, third-party assets increased due to higher contributions from multi-assets and real estate. The EBIT reached CHF 24 million, supported by an improved contribution from the third-party business. Thanks to these higher contributions from the bank as well as from Asset Management, the segment delivered a pleasant EBIT growth of 18.4%, up to CHF 50 million. In summary, we delivered a successful first half of the year with strong results across all segments, reflecting the quality of our business and the progress in optimizing our core business. The measures initiated and implemented in the refocusing strategy deliver financial results. With this, back to Michael.
Michael Müller: Thank you very much, Carsten. Let's open directly the Q&A. As already mentioned, besides Carsten and myself is also Matthias Henny, our CIO here for the questions and answers.
Operator: [Operator Instructions] The first question comes from the line of Simon Fössmeier from Vontobel.
Simon Fossmeier: Just one question on the Life segment. I understand the decline in premiums. I'm surprised about the much lower new business margin. It's just -- it feels that interest rates haven't declined that much. Is that due to business mix? Or what's the driver here? Can you please explain that?
Michael Müller: Thank you very much for the question. I think Carsten will go directly into this answer.
Carsten Stolz: Yes. Simon, thanks for your question. It is exactly as you said, it is due to business mix, which explains the lower new business margin in half year. We have underwritten a lot of business, for example, in capital-light products. And this different business mix on the new business side in the half year explains the development of the new business margin.
Operator: The next question comes from the line of Farquhar Murray from Autonomous.
Farquhar Murray: Three questions, if I may. Firstly, just honing in on German Non-life. I wondered if you could detail what's driving the 8.5% growth in business there that ideally maybe split that 8.5% between tariff and volume effects. And then just on the other EBIT line, the minus CHF 63 million. Why is that more negative than the historic average? It looks like you might have put some costs through there? And then very finally, on the Life CSM development, what's driving the minus CHF 77 million operating variance this half?
Michael Müller: Thank you very much. I will go to the first one. And after that, the EBIT on other and CSM bulk, give hand over then to Carsten for that. So as we already mentioned, this growth in Non-life in Germany, it's about 8.5%. It's coming from price effect, which is a little bit more than 50% coming from price effect and the rest is from volume effect. So it's from both sides, but slightly bigger part is coming from price effects. So tariff changes and things like that. And for the EBIT other, Carsten.
Carsten Stolz: Thank you for your questions. So the development in the other line that you alluded to is linked to costs in connection with the refocusing strategy and the planned merger with Helvetia. And your question with regard to the CSM walk and the drivers of operating variances. This is linked to a portfolio development, mainly lower volumes in the Swiss Group Life business and the associated decline in premiums as well as updated of operating assumptions.
Farquhar Murray: Okay. Just a quick follow-up on the other EBIT line. How much were the costs you put through there?
Carsten Stolz: No, we have not detailed these costs. We don't detail them out.
Operator: We now have a question from the line of Michael Huttner from Berenberg.
Michael Huttner: My question is pretty much similar to those that have been asked, but maybe I can ask them differently. On the other line, what figure should we put in the full year? Because I mean the CHF 38 million to CHF 63 million, there's no trend here. So it -- and you presumably now know how much costs are still to come on either the merger or the refocusing strategy? And the second, Swiss real estate so lovely contribution from revaluations in Non-life, CHF 35 million. Is this a figure that we can now start repeating? Your lovely IR explained that the revaluation was 2%, but I just wondered what the trend is here. The other question is on Belgium. Why Belgium in your lovely chart by country. You said that the contribution of Belgium is down a lot. And I couldn't -- I mean, I heard your comments about refocusing volumes and stuff, but going from CHF 85 million to CHF 50 million seems kind of strange. And then the last question really is you actually virtually achieved your refocusing strategy target, so your 90.6% target, I think, is 90%. Is there anything here that you would say no, be aware there's seasonality and we're really not there? Or is it simply that the refocusing works much quicker?
Michael Müller: Thank you very much, Michael, for these questions. I will start with refocusing strategy. So with the last question you had, and then also hand over for the EBIT part to Carsten and for the property in Switzerland to our CIO, to Matthias. So just starting the refocusing strategy. I think we are fully on track with our strategy. It's a half year result. Let's say, those are like that, it's always till end of year because it's also some -- sometimes it's also a question how many events you have in the first or the second half year. So for me, it's also -- let's see, at the end, but we are fully on track to our target of 90%. With 90.6%, yes, we are on a good track, but it's not fully reached. So we are also aiming for really going to the 90% overall. And I think that's where we stand at the moment. Also looking at indicated on another level, also FTE, I think we are really fully on track but it's worth to do also in the future. And it's looking at the portfolio and steering portfolio is daily business, I think. So we need also to go there in the future to reach all our goals over the time. But we are confident to reach them. Then we go to the EBIT on other, perhaps. Carsten first.
Carsten Stolz: Yes, Michael, on the other EBIT, there will be effects also flowing through this line in the second half. But as we speak, we cannot provide a run rate or an outlook on this line but there will be further costs associated with the execution of the strategy and the planned merger.
Michael Huttner: And just a follow-up, does this -- is this then all done in 2025? Or should I also have this slightly higher level going forward?
Carsten Stolz: Well, when we talked about the way ahead and as announced on -- in April, the total integration time of the planned merger will take the next few years. And we indicated CHF 500 million to CHF 600 million of integration costs stemming from that. And the value created against these CHF 500 million and CHF 600 million is just to recall on top of the stand-alone strategies, the CHF 350 million in run rate synergies that should translate into more than CHF 200 million run rate improvement on cash remittance and 20% dividend uplift in terms of dividend capacity. So zooming in again on your question, there will be integration costs in the context of execution of the merger in the next years as indicated. And maybe I just also take the decision on -- or the question on the EBIT Belgium right away before I then hand back to Matthias for the property question. So on group level and on a consolidated level, Belgium is contributing pretty strongly and consistently also with the last year to group results. From a segment perspective, as you rightfully say, Belgium shows a lower result in the first half year. It is a group internal shift highly related to the internal reinsurance structures. But on a consolidated view, Belgium is -- this effect is more or less neutral. And with this, over to you, Matthias, with regard to the property valuation effect.
Matthias Henny: Michael, the appreciation in investment property value, as you mentioned, is somewhat above 2%. If you combine Non-life and Life together divided by the overall property value that we have for insurance assets. It's mainly coming from Switzerland, where the real estate market is developing very favorably compared to, let's say, 3 years ago when we had much higher interest rates. Now interest rates have come back to 0 at the short end which drives, again, real estate prices. This is a general phenomenon. We see it across the market in Switzerland. And given the strong fundamentals, we expect this trend to continue. I mean we still have very solid or good economic development in Switzerland. We have immigration. We have limited land reserves in Switzerland as such. So fundamentals are still very favorable. And this also is then reflected, obviously, in our valuation of our properties. We continue to have a conservative approach in valuing our real estate. So even after this appreciation, we are still at the lower end of a typical pricing range in real estate valuations.
Operator: [Operator Instructions] We now have a question from the line of Nasib Ahmed from UBS.
Nasib Ahmed: Two on Life insurance and one on Non-life. Firstly, on life insurance, I understand the trend towards semi-autonomous and you're losing business and premium there, but it doesn't seem like you're recapturing it in Perspectiva because AUM is flat, a number of companies is flat as well. Who have you lost that business to? Second question on Life as well. The average guarantees in Belgium increased by 0.1% versus full year. So I think the 1.7% versus 1.6%. What's -- why have the average guarantees increased in Belgium? And then finally, on Non-life, similar question to Farquhar, but on Switzerland. What was the tariff increase with the volume increase in Switzerland over the first half?
Michael Müller: Thank you very much, Nasib. So I will first take the Life part and then for the Life average guarantees in Belgium, I hand over to Carsten. For the Life part, yes, there is a trend to go to more to semi-autonomous solutions in Switzerland, and we have also our semi-autonomous solution with Perspectiva. It is a growing solution. During the last years, it was quite heavily growing. It's close to CHF 2 billion now assets, which are coming or invested in Perspectiva. But it's not the solution for all of these parts. It depends always also what clients are looking for. So not everything is going then into Perspectiva. But it's a growing part. I think a little bit of broader picture, I think, overall, we have also a growing part of third-party asset management, which is also coming from the -- let's say, from the same segment at the end because that's often also part is coming from the bank, which are more individual clients, but there is also a part coming then also for fund solutions in Switzerland, which is also a growing part in our business model. So overall, I think there is also some kind of a shift in different business models in that area. And second one is about the Life average guarantees in Belgium. Carsten?
Carsten Stolz: Yes. Thank you, Nasib for your question. So in Belgium, we increased guarantees for some products, but it's products where there is full ALM matching for these products. So for example, there is no negative impact stemming from duration gaps or others. And therefore, these effects are neutralized. It's worth noting that these guarantees are time-limited guarantees and therefore, can adjust to different environments in subsequent years. And then with regard to the Non-life Switzerland price and volume effects, we -- the main effect in Switzerland is stemming from pricing measures.
Nasib Ahmed: Yes. So 1.7% is pretty much all price and volume flat?
Carsten Stolz: There's a positive price effect and in some areas intended negative volume impact in the context of steering the portfolio, but resulting overall in the stated growth that you mentioned.
Nasib Ahmed: Okay. And just a follow-up on Perspectiva. Do we think about the loss of full insurance business as going into Banking, Asset Management and Perspectiva? So the third-party growth in AUM is driven by some recapture of the business. Is that correct?
Michael Müller: Sorry, I didn't get the question. We had some problems in the line. Well, can you repeat, please?
Nasib Ahmed: Yes, Sure. The third-party growth in AUM, in Asset Management & Banking, is that some recapture of the full insurance product in there back into Asset Management & Banking?
Carsten Stolz: So the growth in -- that has been achieved in Asset Management & Banking from the asset management side with regard to third-party business is in the intended area of multi-asset and real estate, in particular, that's where the growth comes from.
Matthias Henny: Yes, exactly. So it's fully in line with the strategy that we laid out a year ago. We focus on multi-assets, which is mostly sold over the insurance and banking channel and real estate in Switzerland, which is distributed mostly amongst institutional investors, pension funds, but to a certain extent, also wealth management mandates and the like. And we are well on our path to reach the goals that we set out a year ago.
Operator: [Operator Instructions] The next question comes from the line of Rene Locher from ODDO BHF.
René Locher: So the first question relates to Slide #6. There you see cash [ remittance ] is okay. You want to pay out 80% of the cash remittance per annum. So I did a calculation, if I go for like CHF 500 million run rate, 80% payout, I end up at CHF 400 million, divided by 45 million, 46 million shares with a potential dividend of [ CHF 8.80 ]. Now I can see in the market that a lot of my colleagues, they are going for a dividend of the combined ratio of CHF 770 million to CHF 780 million. So I was wondering a little bit if all shareholders are getting a lower dividend than the CHF 8.10 they received for last year. That's the first question. The second one, on the Non-Life market, I think with the half year results, we have seen quite a lot of companies with mid-high single-digit growth rate in Non-life and combined ratios well above 90%. Now on the other hand, we can see Baloise growth, 1.7%, combined 88%. So I'm wondering a little bit, Michael, perhaps you can comment a little bit what's the dynamic in the Swiss Non-life market. Then the third question, I guess this is for Matthias. I have seen that your Baloise Swiss property fund, you have a successful cap increase of CHF 135 million. Now you add 50 million in bonds and you are buying CHF 185 million market value real estate from the Baloise Insurance business. I mean just again, big picture, why are you doing this? And what are the -- yes, the impact on the numbers because you're losing rental income, I guess you will get the money from the fund. Just to get a little bit understanding what's the big picture here.
Michael Müller: Thank you very much, Rene. So I will go for the first two ones and then hand also over to Matthias for the third one. So just for the first question you had, it's about our dividend policy. You refer to Slide 6, where we have our last year announced policy with a payout ratio of 80% or higher with our Baloise view on that. You did that's also some calculation about the future, which is a combined future planned merger with Helvetia. And for sure, that we have to align processes and the new Board, which then will, after closing be in charge also has to define common -- have to define a common view on the policy on payout ratios and also on the dividend strategy. I think something, which is already clear is that the dividend -- being a reliable dividend payer is something which will also be in the DNA for the future company. It's also something which both companies are already in. But just to be clear, the policy has to be defined by the new Board of Directors then starting after closing. Then for the Non-life market, I think you asked about this dynamic in the Swiss market. I think there is not one dynamic. I think you really also have to look on the different business lines there. Overall, I think at least what we see, we have our refocusing strategy and refocusing strategy means that we really want to go to look on our portfolios and also price it in the right level, which then also means that we are doing it during -- with the correct tariffs from our view. And that means also in some areas, perhaps market is not reacting in the same kind or is perhaps also slower or faster that you never know. And then -- but we are going for our part that means in some areas perhaps also that we are going for profitability and not for growth, could be -- I think in the long run, it always goes in both directions because at the end, I think everybody needs then also business which is profitable. So that's where we stand at the moment. But you cannot say now that there is a clear direction in every part or in every business line. I think something you see we had some kind of tariff changes also in motor business over the last months from our side. So I think overall, we have done and steered it as it is from our side, the most profitable view also to all of our stakeholders. And then perhaps, Matthias, about the third one.
Matthias Henny: Yes. Regarding real estate in insurance assets and transfer to Baloise's Property Fund, you described well the mechanics that's going on. And the reason for that is that we have decreasing insurance assets in traditional life insurance. This is not something which is new, but it has been there for a couple of years. And this means we also need to reduce the balance sheet with fixed income and equities, it's quite straightforward. With real estate, it's either you sell it in the market, which we do also for some part of our real estate portfolio and the part we want to continue manage ourselves, and we move those properties into the Baloise Property Fund or, for instance, in the investment foundation that we set up a year ago. Like that, we can continue to manage these assets and become also a significant real estate player in third-party asset management area in Switzerland. Now regarding the loss of rental income, yes, that's the case. But that's a normal development if your total assets on an absolute level go down. The same happens to the current income, but on a proportional level, as we don't change the asset allocation on a relative basis, nothing changes. And given the attractiveness of real estate as an asset class, we stick to the maximum that we can legally invest, which is the 25%, which is the limit for tied assets for real estate in Switzerland.
Operator: The next question comes from the line of Anne Risold from Octavian.
Anne-Chantal Risold: I would have a question on your operational efficiency and FTE reduction and how are you managing the current FTE reduction, given that significant additional wave of staff cut that is expected, particularly in Switzerland with the upcoming merger.
Michael Müller: Yes. Thank you very much, Anne-Chantal for this question. So overall, what we are doing at the moment that we have our efficiency program, which is coming from refocusing strategy. There we are fully on track. We are doing that in the same manner as planned. But we are preparing overall. It's also clear that at the moment, we are not -- so we look like we really have to hire people if there are some people going out. But overall, we do not see a higher rate of something which is higher than in earlier years. That's nothing we see. But what we are looking at also a little bit preparing then that we are not -- that we have it as smooth as possible also for the future because there, yes, you're absolutely right. There is a reduction for future and being prepared there is good for the overall situation we do have.
Operator: [Operator Instructions] We have a follow-up question from the line of Michael Huttner from Berenberg.
Michael Huttner: I had two. One, can you talk a little bit more about the cash? I know you said you're fully on track, but that still leaves -- well, I wonder if you could be a little bit more -- offer a little bit of granularity here, that would be really helpful. And then the CSM release rate in Life. The reason I ask is, although the increase is isn't much, I think it's got from -- well, the average for last year was 2.7% on the half year basis, now is 2.8%. But you're clearly well below your peers. So I'm just wondering here whether we're beginning to see this catch-up, which I think as analysts, we had been hoping for? Or is this just simply noise and we should ignore it?
Michael Müller: Thank you, Michael for these questions. It seems to be two questions for Carsten. Cash is always not easy because it's flowing once per year, but -- with the dividend. But I hand over for Carsten for these two questions.
Carsten Stolz: Thanks, Michael, for your follow-up questions. So as we are looking at half year results, which show growth, improved profitability and enhanced returns. This signals that also when we shift the perspective from IFRS to statutory accounts where ultimately cash is upstream and remitted from the operating entities that also from that perspective, the house is very much in order. And that's why we can draw the conclusion as we speak, that cash remittance is sustained and we can -- 2025 can contribute to achieving the overall CHF 2 billion target that we have set ourselves. So we are healthy in terms of the foundations to cash remit the success of the financial year 2025 and also up to the holding company. So that's on cash remittance. And with regard to the CSM release, the ratio is slightly up, as you say. It depends on many elements that influence the release. As you know, models play a role, business mix play a role and so on. So looking ahead, we'll move into a joint view for the combined Helvetia Baloise Group. And then we'll see how the picture will present itself. As we speak, our release ratio is the 2.8% that you mentioned, and that's our current situation.
Michael Huttner: And can I just ask a very quick follow-up? It's not on this, it's a different topic. I know it doesn't appear on the current accounting, but it used to. What's the picture on PYD in the Non-life business. Have you -- are you releasing more or less? Or are you adding to buffers? Or just to get a feel for -- I know there are no numbers, but...
Carsten Stolz: Yes. By and large, after the move from IFRS 4 to our [ IFRS 17/9 ] PYD as such doesn't -- it doesn't show up as such anymore. And that's why there's nothing special to flag about it. So with regard to reserving and the dynamics on the Non-life loss ratio side, nothing has [ changed ].
Michael Huttner: Another way of looking at it, but I know, I'm not sure, I'm walking on thin ice, I don't know what I'm talking about. Yesterday, I was asking a reinsurer and I said, well, one way of looking -- getting a feel for these kind of releases, buffers, whatever is the experience variance in the CSM. Now I have no idea if there is a CSM in Non-life. So I don't know, but is that a way of looking at it?
Michael Müller: No, there is -- you can say that it is kind of an experience variance because it's a question of deviation from assumptions which is the basic idea in the Life CSM. In Non-life, there is no CSM because we -- it's handled under IFRS 17 under the premium allocation approach. And I would just reiterate that the guidance that we've given on Non-life side where we said that we have around 4% in large claims in a "normal year" in the new context, 2 to 3 percentage points stemming from discounting effects and those are the major effects that influenced the Non-life combined ratio on the [ IFRS 17/9 ]. I didn't say that there is no prior year loss developments included but they play less of a role.
Operator: [Operator Instructions] We have a follow-up question from the line of Rene Locher from ODDO BHF.
René Locher: Just a quick one for Carsten. I was wondering if you could quickly explain in a nutshell, how this IFRS 3 business combination will look like.
Michael Müller: Okay. That's, I think, not an easy task in a nutshell.
René Locher: But we can take it offline. It's okay.
Carsten Stolz: So if you say in a nutshell, then I have a pretty small picture of a walnut in front of me. So if you allow me, I claim with -- if you open it, you have 2 nutshells. And if you allow me, I will use both of them. Probably not enough. So in a nutshell, due to the fact that accounting-wise, Baloise will be absorbed by Helvetia. Accounting-wise, Baloise moves into the direction of Helvetia. And that means, in a nutshell, revaluing and reclassifying the balance sheet of Baloise to Helvetia IFRS and then apply purchase price accounting to the combined new entity. So that means by the end of 2025, we will undergo this exercise. The Baloise balance sheet will move into a consolidated view under Helvetia following the [indiscernible] the business combination by absorption. And then from then on, the new clock will tick and we'll then see a new P&L for the combined entity for -- from 2026 onwards basically. [indiscernible]
René Locher: No, no that's okay. But we should expect that we will get a kind of an opening balance sheet once , let's say, like in Q1 2026 as starting point, right?
Michael Müller: Sure. There will be some opening balance sheet with closing at the end that will be the starting point for the new company.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Michael Muller, CEO, for any closing remarks.
Michael Müller: Thank you very much. Ladies and gentlemen, let me summarize our results once again. First, Baloise refocusing strategy works and is fully on track. Second, our strategic progress is reflected in our strong half year '25 financials. Combined ratio improved by 2.6 percentage points, net profit rose by 26%, and return on equity increased by 2.5 percentage points. Third, the preparation of the planned merger with Helvetia are proceeding as planned. With the planned merger, we are on the threshold of a new chapter in our company's history. Together with Helvetia, we will strengthen our business, become one of the leading insurance in Europe and create a strong basis for further profitable growth. We hereby close the call. Thank you very much for joining, and have a great day.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.